Operator: Good day ladies and gentlemen, and welcome to the third quarter 2011BankUnited, Inc., Earnings Conference Call. My name is Anne [ph] and I will be your coordinator for today’s call. As a reminder, this conference is being recorded for replay purposes. (Operator instructions). We will be facilitating a question and answer session following the presentation. I would now like to turn the presentation over to Mary Harris, Senior Vice President, Marketing and Public Relations. Please proceed.
Mary Harris: Good morning, and welcome. First I’d like to remind everyone that this call contains forward–looking statements within the meaning of the Private Securities Litigation Reformat of 1995 that reflects the company’s current views with respect to among other things, future events and financial performance. The company generally identifies forward–looking statements by terminologies such as outlook, believe expect, potential, continues, may, will, could, should, speaks, approximately, predicts and can plans estimates, anticipate or the negative version of those words or other comparable words. Any forward–looking statements contained in this call are based on a historical performance of the company and its subsidiaries or on the company’s current plans, estimates and expectations. The inclusion of this forward–looking information should not be regarded as a representation by the company that the future plans, estimates, or expectation contemplated by company will be achieved. Such forward–looking statements are subject to various risks and uncertainties and assumptions relating to the company’s operations, financial results, financial condition, business prospects, growth strategy, and liquidity. If one or more of these other risks, or uncertainties materialize towards the company’s underlying obstructions, prove to be incorrect, the company’s actual results may vary materially. From those indicated in these statements, these factors should not be construed as adaptive. The company does not undertake any obligation to publicly update or review any forward–looking statement whether as a result of new information, future developments or otherwise. A number of important factors may cause actual results to differ materially from those indicated by the forward–looking statements. It’s now my pleasure to introduce John Kanas, Chairman, President and Chief Executive Officer of BankUnited. John?
John Kanas: Good morning everybody. We are very pleased with the quarter obviously, we are reporting $45.6 million at $0.45 a share. Doug tells me that that is compared to consensus estimates of about 43. The risk story [ph] of this quarter is embedded in tracking our organic growth rate. Grew about $378 million for the quarter, most of which were commercial loans. This actually – this is actually running a substantially about what we had estimated it to be last quarter. And we are optimistic based on what we’re seeing that this kind of a growth rate, particularly commercial loans will continue on into the next few quarters. The commercial loan portfolios now just under a billion dollars by the year end. We expect that it will be, and the growth rate of loans annualized for the quarter is about 180% a year. We’re obviously benefiting from the fact that banking is badly dislocated, many of our competitor institutions are virtually out of business for one reason or another. I think they’re struggling with balance sheet problems, and regulatory problems. Some of which we expect – we’ll eventually sold out some loans leading to what we predicted a long time ago, a version of the national consolidation of banks here in Florida. Demand deposits to transaction accounts grew significantly during the quarter and they amounted about 15% of deposit based that’s up from 4%, 5% when we got here. So all in all, we are very pleased – all in all we’re very pleased with the quarter and the financial results and are particularly riveted on the fact that organic growth seems to be gaining momentum. I reported to you earlier that when we first came to Florida, we started hiring Florida bankers and we really got to pick, I believe the pick of the litter of commercial bankers in South Florida in particular. And those teams have gained traction. And we’re finding that the more customers they bring, the more customers they bring. So we have been very impressed with the performance of that part of the bank. So as I said, in my quote, we really are the – a strategically important factors emerging here underneath the law share agreement and we are very pleased with those results. We’re on track with the new branches. I think we have 10 opening between now and January 1st all of which have been under construction this year, for most of this year to – to a new opening this past week in Palm Beach. That was greatly attended. And we are very encouraged by in the offset to a stronger start there. And many of these new locations as I reported to you before, are either relocations of some of the old branches, or actual new locations intents that we’ve not been represented in before. I guess the – anticipating a question with regard to M&A and I’m happy to answer them but we get that question frequently as to what’s going on, we thought that there’d be more consolidation already within the market. And I know you’ve heard me say this before, we are seeing, and I think if you – those of you who are investment bankers and those you who talked with us and bankers, they will confirm that the activity is beginning to heat up in the M&A side. People are starting to get a lot more realistic about pricing, and about asset evaluations on their own balance sheets. And while we don’t have anything in it, it wouldn’t be surprising to see this turn to something up in the next four or five months or so. I know that’s longer than we expected that it’d take, but quite frankly, pricing just is at at a whack with reality. I listened interestingly to Kelly King [ph] the other day, but he was predicting that the consolidation was probably going to heat up this year because they are (inaudible) I couldn’t agree with him more. So we are up to a great start for a close of the year. And expect this momentum to build. I remind you, as early in the fourth quarter, that as part of our FDIC agreement, we get to sell a portion of our covered loans, about 275 or $273 million worth. And we do that – we execute that transaction every fourth quarter. So we will, we do intend to execute a transaction like that in the fourth quarter. It will have an impact the fourth quarter it’s because we run our portion of the laws through that transaction. So it will – you will see that as you have in the next. We’re also launching an ambitious marketing campaign down here. Up until now, we frankly didn’t have much to talk about. And we didn’t – we were kind of hoping didn’t go on our branches because there weren’t anything that we were particularly proud of. That’s no longer the case. We repositioned our branches, we re–branded them, and we have upgraded management all across the organizational chart and particularly out in the branches. And we are now beginning to show off in Florida. And those of your who are down here, this winter, we’ll start seeing and we will become more of a household name, particularly in the (inaudible) and also over in the west coast. So we look forward to that. And I think that I’ve spoken enough. Most people are probably at the trading desk this morning getting your – buy orders in based on that – the few [ph] this morning, and I’m happy to take a question.
Operator: (Operator instructions). One moment while our queue populates. And our first question comes from the line of Ken Zerbe with Morgan Stanley. Please proceed.
Ken Zerbe – Morgan Stanley: Great, thanks. John, can you talk a little bit about geography of M&A? I mean are you seeing any differences between, you know parts in – regions in Florida or versus – maybe Florida versus some of the surrounding states in terms of who is being more or less reasonable? And also just remind us about your views on acquiring service slightly north of Florida, so, again, in the Southeast region in general. Thanks.
John Kanas: Yes. We concentrated almost exclusively on Florida. People have shown us bank franchises in contiguous states and none of them have made any sense, Ken. In Florida it is a bit for – some areas in Florida are doing better than others. The minor date market is clearly showing more signs of life, the economy that is, particularly in the real estate markets than the rest of Florida at least at the moment. That’s not being reflected in the bank performance in this market. In fact, of course, some of the worst performing banks are in this market and are struggling the most. And that’s where the emphasis of our growth – our growth has been. With regard to ambitions north of Florida, right now we don’t have any except for the planned expansion in New York City. And we are moving forward with that. And I remind you that under our non–compete weeks we expect to be doing business in Manhattan sometime probably in the third quarter of next year. But we are – we are site selecting there and we are getting ready to move in to that market and look forward to it anxiously. That gives you – and I said before, you know, we expect significant trajectory of our growth in New York early on. And if you put that on top of the annualized growth rate we seem to be getting in Florida and I know nobody likes to get excited about organic growth and I’d rather have an M&A deal taking forward and look at that. But frankly the organic growth, the story here is quite impressive. And just at this rate alone we’ll building a pretty big bank in a couple of years.
Ken Zerbe – Morgan Stanley: Understood. The – and just in terms of the quality of the people who are getting a little more realistic about their – about prices, I mean, are you willing to buy, you know, sort of quote junk or did it have to be a decent franchise but at a lower price? Like how willing are you to buy lower quality?
John Kanas: We will look at junk and most of the junk is either in the hands of the regulator or possibly aligned with the regulators that are being controlled by them. I can say this that we really don’t see images in FDIC deals, okay? The economics are not at all compelling. And we look at the pricing on the last view of those and they’re not interesting to us. So I’m not – I’m not sure whether that changes. I’m not sure about that. And as the bank market and pulls through here and consolidation takes place whether the FDIC gets more generous with the deal. I doubt it. And so we have looked at basically performing banks in Florida. And those people have gotten more realistic about price. And then some of the – some of the funds that came down here and either board banks are recapitalized or the starter banks are recapitalized (inaudible) are probably not performing up to what the investors thought they would see in these things. So we think that there’ll be some action in that area soon.
Ken Zerbe – Morgan Stanley: All right, great. Thank you.
Operator: And our next question comes from the line of Robert Placet with Deutsche Bank. Please proceed.
Robert Placet – Deutsche Bank: Good morning, John.
John Kanas: Good morning.
Robert Placet – Deutsche Bank: First question, I was wondering if you could just talk about what types of securities you’ve been buying I guess this quarter? And with rates as low as they are, does this kind of changed your strategy as it relates to your – to your security’s portfolio at all.
John Kanas: We’ll let Raj or Doug answer that. But the quick answer is low view being one. Go ahead, Doug.
Douglas Pauls: Well, Rob, to answer your question about there’s a change of strategy, no, not really because the strategy has been revolved around – we want to buy good securities. We’re not going to take risk in the securities portfolio. There’s no reason for us to do that. You know, we book every month in terms of, you know, mix between the floating rate, fix rate, those types of things. But we’re not – we’re not stretching to get yield in the investment portfolio. And John is correct. I mean, obviously, the yields are not great. One of the nice things for us frankly, this quarter as well as projecting forward is that, we think we’ll have less cash that we have to put to work in the securities portfolio because we’re doing more win. And that’s really what we’re going to do anyway. So, strategy really hasn’t changed. What we’re buying really hasn’t changed drastically. We just have to speak what we’re doing for that.
Robert Placet – Deutsche Bank Securities: Okay, great. And then as it relates to your branch expansion down in Florida, as you look out beyond this year, do you have a target for the number of branches that you are going to build in 2012? And then longer term, how many branches do you sort of operate?
John Kanas: There are other – the current thought are eight or 10 next year. Branches, as in what we publicized, are less and less important in this business. And there’s such an oversupply of banks and branches in this market and every other one that we are very, very careful about where we put these locations. We build them only when they’re strategically important and only when we go in with the team of people that leads the new branch into a market. We don’t – we’re not building branches and hoping people come and try to find somebody to manage it a week before we open it. So, we’ll continue to execute on that plan as long we can find the kind of people that we’ve been able to hire so far that can grow those branches quickly. But it has become an art and not a science. And branches themselves are less important to our expansion strategy than people.
Robert Placet – Deutsche Bank Securities: Okay. And then just lastly on a related matter, as it relates to refurbishing your existing branches. Are you completely finished with that process or how much is left?
John Kanas: We’re a hundred percent done. All the branches had been, yes, refurbished. The new logos are up, the signs are up and that’s one of the reasons why we’re going to advance this marketing plan. That will be a combination of maybe television radio and newspaper, the internet. And we really want to show these places well. We’ve gotten great comments from people, unsolicited from all over Florida. And so we now want to broadcast our growth there.
Robert Placet – Deutsche Bank Securities: Okay great. Thanks very much.
Operator: And our next question come the line of Brady Hailey with Keefe, Bruyette and Woods. Please, proceed.
Brady Hailey – Keefe, Bruyette and Woods: Thanks. It’s Brady Hailey. Good morning, guys. My first questions is about your estimated – loss. I know it’s been trending down over the last couple of quarters. I saw on the press release, you are now down to 4.7 from 4.8. I was just wondering what’s driving that? You had better cash flows? Are you more positive on the Florida economy? Do you expect that number to continue to drift down over the next couple of quarters?
John Kanas: Well, Brady, the cash flows have consistently gotten a little better. Before we were at 4.8 billion and now we’re at 4.7. Last quarter we probably rounded up to 4.8, this quarter, we ran it down to 4.7. So, they’re getting better rollings in the portfolio have gotten better. We’re still not seeing, in a lot of markets, own price appreciation. The reason – to show us – stuff came out there were some improvement but we’re not seeing anything massive. So, at this point, we expect that number to – it may trickle down a bit but we’re not projecting any great change in that as we go forward. Anything to add to that Ross?
Wilbur Ross: No. It’s getting better. (inaudible) it’s not much of an improvement from 4.8 to 4.7. But we don’t really expect much of an improvement, just stable.
Brady Hailey – Keefe, Bruyette and Woods:
John Kanas: You’re saying the 3rd quarter or over the last year?
Brady Hailey – Keefe, Bruyette and Woods: In the 3rd Quarter, how many new lenders have you hired?
John Kanas: In the 3rd Quarter, 15 or 20. And over the last year, probably – 100.
Douglas Pauls: Yes, close to a hundred.
John Kanas: Yes, around a hundred.
Brady Hailey – Keefe, Bruyette and Woods: Okay. And then my last question – the sale that’s coming up, the auction where you can sell the 270 275, is there any idea how much of a negative impact that’ll be on 4th quarter’s earnings?
John Kanas: Brady, the only thing I can say to that is that in 2009, it was $9 million pre–tax and in 2010 $18 million pre–tax. The bids are not due for a couple of weeks so, you know, we can’t really give any more banks to that we can tell you what happened in the last couple – but other than that, we’re not sure.
Brady Hailey – Keefe, Bruyette and Woods: Okay. Thanks, guys.
Operator: And our next question comes from the line of Erika Penala with Bank of America, Merrill Lynch. Please proceed.
Connor Preshaw – Bank of America: Hi. This is Connor Preshaw [ph] for Erika, good morning.
John Kanas: Hey, Connor, how are you doing?
Connor Preshaw – Bank of America: Good. Just a quick question on the loan yields, I know they moved up this quarter on higher accretable but can you talk about the yields you’re seeing on your new originations particular in CNI?
John Kanas: Yes. For the quarter, the yields, the new CNI stuff came on at roughly 3.5 and most of that is floating rate products.
Connor Preshaw – Bank of America: Okay. Great. And then just on the liability side. Can you talk about just the positive repricing opportunities in 2012 in the 4Q?
John Kanas: Connor, it’s actual a little closer to four on the commercial side.
Connor Preshaw – Bank of America: Got you.
John Kanas: Up three.
Connor Preshaw – Bank of America: And then just repricing opportunities on the deposit side going forward.
John Kanas: We repriced money market savings by five basis points just a couple of weeks ago. We repriced the EPR which is repriced fee income on the cash management side by 10 basis points. So, we’re repricing but we also carefully look at what the competition is doing so it’s hard for me to say what 2012 would be. I would think there’s more opportunities to reprice by I can’t give you a number.
Connor Preshaw – Bank of America: Okay, great. And any big CD [ph] coming due or anything like that from the failed [ph] bank?
John Kanas: No. The failed bank CDs [ph] are pretty much run off, and there isn’t much left from prior to 2009. In fact, if you would notice, our CD balances for the first time have actually now started growing. So, we’ve been running off CD and very aggressively sell but we’ve now come down to a place where I think the CD portfolio we have is fairly core and would like to keep it flat or grow it a little bit.
Connor Preshaw – Bank of America: Great. Thanks.
Douglas Pauls: You know, just a second what Roger [ph] is saying is, you know, we’re talking internally. We felt, you know, information over the last couple quarters about, you know, core deposits and what not but we’re talking internally, we – you know, that definition has excluded CDs and what we’ve been reporting and we’re, you know, going in 2012 we’ll probably taking up to look at that because as Roger said, said, we ran out the one relationship CD customers that we weren’t looking for and now what we’re left with is a good stable base of CD customers. So – how about the relationship with us so, you know, we may just, you know, talking about core deposits to talk about our deposit space.
Connor Preshaw – Bank of America: Great. Thanks for taking my questions.
Operator: Again, ladies and gentlemen, to ask a question, please press star followed by 1 on your touchtone telephone. And our next question comes from the line of Steve Moss with Janney Montgomery Scott. Please proceed.
Steve Moss – Janney Montgomery Scott: Good morning. Thanks for taking my call. Just one question with regard to the Florida Commercial Real Estate market. What are you seeing for activity and pricing here?
Douglas Pauls: John is sitting here. John deals with that every day. I don’t think we’re seeing much at all. But John what do you think?
John Kanas: We don’t see much activity there at all at this point. What is out there and looks good to us. We’re getting a shot at, but in general. There’s no growth in that market today.
Douglas Pauls: Frankly, we’re surprised, we thought that by now we keep more activity in that area. We are seeing people coming in from other parts of the country investing serious money in this market in commercial real estate with a lot of cash, it’s interesting though in the front page of the business section of Miami Herald last week. I think we might at that time, we probably start seeing like (inaudible) is going up in Florida again pretty soon.
John Kanas: Sure enough there’s 279 units condo tower just breaking ground on Brickell Avenue [ph] going to go right next to the other empty condo towers but mostly they’re taking up now by discounting the prices. The difference is this one is being driven by a whole different semantic structure where buyers have to put 70% of the money up before construction commences. The banks aren’t backing this, they didn’t (inaudible). But we are starting to see people developing new properties. I reminded you before we moved on to questions that I think I forgot or fail to mention, we have a number of different regulatory applications depending – to bring out the data on those. Remember that we have an application in with the fed to convert the holdings companies, the bank holding recovery. We have an application with the OCC to convert the chart of the bank from a charter to that of a bank. And then we have enough applications for the regulators to approve the Harold Bank acquisition. We expect that we were putting an announcement out in a matter of days, we’re hopeful, not all of those but on several of those probably the – probably the OCC application approving us as a national bank. We’ve completed the process with them. We’ve had the core examinations and had our interviews with the regulators been done very well (inaudible). And then we’re hopeful that the rest of it, the fed application the approval of Harold will take place before January.
Steve Moss – Janney Montgomery Scott: Thank you very much.
Operator: Ladies and gentlemen, there being no further questions in the queue. This concludes today’s question and answer session. I would now like to turn the call back to Mary Harris for closing remarks.
Mary Harris: Thank you, everyone, for participating in the call today. Have a wonderful day. Thank you.
Operator: Ladies and gentlemen, we thank you for your participation in today’s conference. This concludes the presentation.